Operator: Good day, ladies and gentlemen, and thank you for standing by. And welcome to the Jack Henry First Quarter 2013 Earnings Conference Call. This call is being recorded. For opening remarks and introductions, I like to introduce Kevin Williams, Chief Financial Officer.
Kevin D. Williams: Thank you. Good morning. Thank you for joining us for the Jack Henry & Associates first quarter fiscal year 2013 conference call. I am Kevin Williams, CFO. On the call with me today is Jack Prim, our CEO; and Tony Wormington, President. The agenda for the call this morning is the typical where Jack will start out with an overview of the quarter, Tony will then provide some additional operational highlights and then I'll provide some additional comments around the press release and the numbers in it that we put out yesterday after market close. And then we'll take some questions. I need to remind you that remarks or responses to questions today concerning future expectations, events, objectives, strategies, trends or results constitute forward-looking statements or deal with expectations about the future. Like any statement about the future, these are subject to a number of factors, which could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties and the company undertakes no obligation to update or revise the statements. For a summary of these risk factors and additional information, please refer to yesterday's press release and the sections in our 10-K entitled Risk Factors and Forward-Looking Statements. Again, thank you for joining us this morning and now -- I would now turn the call over to Jack.
John F. Prim: Thanks, Kev. Good morning, and welcome to our first quarter earnings call for fiscal year 2013. We are pleased to be able to report a very solid performance for the quarter, reflecting continued strong execution by our associates and we believe, finally, a reflection of the impact of the reduced number of bank failures. Although our organic growth has been good, as we have mentioned previously, these failures at various times in the current economic cycle had represented revenue headwinds of 1% to 3%. While these headwinds have not completely gone away, as we were reminded with the loss of a small bank customer 2 weeks ago, we do feel we have grown over the largest part of that problem at this point. Our 9% organic revenue growth in the quarter allowed us to generate a 17% growth in operating income, 16% growth in net income and 17% growth in earnings per share. It's a good way to start the year, but as I'm sure Kevin will soon remind you, our FY '13 fiscal year, like every year, is heavily weighted towards the back end of the year and this is, as always, reflected in our guidance. With that, I'll turn it over to Tony to provide some additional information on the business.
Tony L. Wormington: Thanks, Jack. We are pleased with the strong contributions in all components of support and services which increased 11% over the prior year quarter and represents 90% of total revenue. The largest contributor to this was our electronic payments revenue which grew 15% compared to the prior year quarter and represents 35% of total revenue. Our outsourced data and item processing services increased 9% for the quarter and represents 18% of total revenue which is driven by both new customers who prefer this model as well as the continued movement of our existing in-house customers electing to migrate to this service model. Our in-house annual maintenance fees increased 7% for the quarter and represents 27% of total revenue. In addition, our onetime implementation revenues increased 18% compared to prior year quarter and represents 8% of total revenue. Our electronic payments transaction volumes continue to experience very nice growth. PassPort, ATM and debit card processing volumes increased 11.6% over the prior year quarter. Bill payment transaction volumes increased 19.3% over the prior year quarter. Financial institution merchants utilizing our enterprise payment solution increased to over 41,700 merchants, representing a 12.7% increase compared to the prior year quarter. Merchant-related transaction volumes increased 18.7% over the prior year quarter. I'll now turn it over to Kevin for a further look at the numbers.
Kevin D. Williams: Thanks, Tony. Again, our total organic revenue increased 9% for the quarter compared to the same period 1 year ago. License revenue was up 5% and represents 5% of our total revenue. Support and services increased 11% this quarter and now represents 90% of our total revenue. To break our support services down a little bit, our implementation services increased 18% for the quarter; electronic payments were up 15%; OutLink, which is our outsourced and data processing and item processing, increased 9%, as Tony mentioned; and our in-house maintenance increased 6% for the quarter compared to last year. Hardware revenue was down 14% for the quarter compared to the prior year and represent 5% of total revenue, which, as we have predicted for years, hardware will continue to become a smaller percentage of our total revenue and decrease in dollars. It's just finally catching up with us from some of the unusual things that's happened in the last few years. Our recurring revenue experienced a growth of 8.5% for the quarter compared with prior year and represented 8% of total revenue for the quarter. Our consolidated gross margins improved to 43% for the quarter compared to 42%; license margins increased to 92% from 91% 1 year ago; support and service margins improved to 41% compared to 40% 1 year ago and hardware margin decreased to 22% from 26% 1 year ago, primarily due to sales mix within that line item. To break this down into our 2 reporting segments, our Banking segment gross margins held steady at 42% compared to 1 year ago; our Credit Union segment margins increased to 44% from 42% 1 year ago as we continue to increase our electronic payment and outsourcing in that segment of the business. In the Bank segment, license margins increased to 91% from 88% 1 year ago; support and service margins in the Bank segment improved to 42% from 41% 1 year ago and our hardware margins in the Banking segment dropped 41% -- or 21% from 28% due to sales mix. In our Credit Union segment, license margins dropped slightly to 93% compared to 95% 1 year ago; support and service margins improved to 41%, up from 39% 1 year ago in the Credit Union segment and hardware margins improved to 25% from 23% last year in the Credit Union segment, again due to sales mix. Our total operating expenses increased 4% for the quarter compared to the prior year and as a percentage of total revenue decreased to 18% from 19% last year. Operating margins for the quarter improved to 25% from 23% and our operating income increased 17% for the quarter compared to last year. Our net interest expense is down 13% this quarter compared to prior year due to the continued reduction in our debt based through just -- based on the term loan payments we've made over the year. The effective tax rate for the quarter was at 36%, up slightly compared to 35.4% last year. Again, I'll remind you that this next quarter's tax -- effective tax rate could vary significantly depending on what they do with the R&E credit. Our EBITDA increased approximately 13% to $91.9 million from $81.6 million in the year-ago quarter. Depreciation and amortization expense of $24.2 million this quarter with $12.1 million in both depreciation and $12.1 million in amortization, compared to $23.7 million in D&A last year. Included in this is whole amortization is the amortization of intangibles from acquisitions which was $5.6 million this quarter compared to $6.3 million in last year's quarter. Operating cash flow increased to $101.8 million from $78.5 million 1 year ago. Free cash flow for the quarter is calculated as operating cash flow less capitalized expenditures, which was $6.8 million in the quarter and down from $10.7 million last year; capitalized software of $11.6 million this quarter compared to $7.5 million last quarter. However, this was up significantly last year but actually down sequentially from the June quarter. And dividends in this calculation of $9.9 million, up from $9.1 million last year. Our free cash flow increased to $73.4 million for the quarter compared to $50.7 million last year. This equates to free cash flow per share of $0.85 for the quarter compared to $0.58 last year. In-house backlog, which represents contracts on hand for software and hardware and implementation services yet to be delivered is at $92.2 million, which is up 26% from this quarter last year. Our outsourcing backlog, which is for data and item processing contract, is up 15% compared to 1 year ago, which makes total backlog up 17%. And as a reminder, there is nothing in our reported backlog numbers for any of our payments businesses which currently represents 35% of our total revenue for the quarter. For guidance, the first -- for the rest of the year, the first quarter was slightly ahead of our internal budget, which is a good thing. And as Jack said, it's a good way to start the year and hopefully, it is a decent indicator of what the full year should reflect. Our revenue growth should continue at about the same levels but substantially a little lower than what we saw in the first quarter because there was a onetime de-conversion fee in the first quarter of this year which added a little less than 1% of our total revenue growth. So without that onetime de-conversion fee, our revenue growth would have been about 8.3% instead of the 9.1%. And there's also, added to that, $0.01, our EPS for the quarter. So without this, we would have been at about $0.48 compared to $0.49. Our gross and operating margins should stay solid and pretty much in line with what it was this quarter. However, as you all know, there is some quarterly fluctuations due to implementation services and obviously, software. And therefore, at this time, we expect net income and EPS to both grow in the low double-digits for the full fiscal year if things continue on track. Obviously, the upcoming election, dramatic change in economy or tax laws could have a significant impact on our fiscal year. With that, that concludes our opening comments. We are now ready to take any questions. Jerry, will you please open the call lines up for questions?
Operator: [Operator Instructions] Our first question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: I joined a little late, if you've already answered -- addressed this, I apologize. But as you look, the first quarter better than you expected, how do you -- based on the pipeline you have, how would you expect the rest of the year to turn out? Are you expecting this momentum to continue?
John F. Prim: Yes, Kartik, it's Jack. Again, as -- I think some of this is a reflection of the growing over some of the larger volumes of bank failures and fewer banks failing. As we've talked about, that's been a drag on revenue growth through the cycle. As the number of bank failures is declining, it's lightening up some. Sales performances continue to be good in all areas of the company. So as Kevin indicated, I think the kind of growth range that we're in, in that 6% to 8%, is probably reasonable, barring some fallout from extraneous factors that we don't see on the horizon at this point.
Kevin D. Williams: Yes. And I -- Kartik, I -- I mean, obviously, we don't see a whole lot out there but it's going to change our cost structure enormously. I mean obviously there's always some things that come up that can create challenges at times, but I think our margins are pretty solid. Obviously, they're higher than they have been for quite some time. Are they sustainable at that same 25% ops margin for the year? That remains to be seen. But obviously it's going to fluctuate a little bit, but I think we're at a level that we can continue to achieve.
Kartik Mehta - Northcoast Research: And then, Jack, just a bigger picture question. It seems as though you look at regional and community banks, and they're under a lot of pressure to offer a lot of services that whether it'd be bill payment or mobile banking, Internet banking. It seems like the services continue to expand, but the cost doesn't seem to decrease for them. And as these pressures mount up, how are your banks looking at that? Are they saying they will have to invest in certain other areas less so they can continue to provide customers service -- the customers the services they want? Or are they looking at it in a different manner and just saying, "We'll have to accept lower margins for now?"
John F. Prim: Kartik, we, the week before last, had a meeting at our user conference, and it was a separate session with about 80 bank presidents and CEOs. And certainly, there is concern about cost of regulatory compliance and things of that nature, but I would tell you that I didn't -- I did not sense a lot of handwringing over the situation. I think people adapt. Whatever the rules are, we'll figure those out and we'll adapt to those rules and we'll figure out a way to make money based on whatever the new rules are. It seems to be more of the attitude. I think certainly, in some of the smaller banks, there may be a little more pressure towards consolidation. But at this point, although I think bank acquisition prices may be improving a little bit, I don't think they've improved enough to cause a significant movement towards further consolidation. We certainly think that consolidation will continue right now, we think roughly at, or maybe slightly above, historical levels of the last 10 years or so. But right now, we don't sense a lot of people throwing the towel in by any stretch of imagination.
Kevin D. Williams: The other thing, Kartik, is last spring, I actually did a presentation for a ProfitStars group and there was a survey out there across the broad swap of the bank and it was just looking at their cost of compliance with regulatory and it was still -- I mean it grown a little bit over the last 10 years but it was still, I think, it had gone from like 2% of their total cost to 3% or something about that. It was not jumping up tremendously, and my comment there is, we are responsible for keeping our bank and credit unions compliant with regulatory changes. So do they have to deal with it? Yes. But we are responsible for -- through the maintenance contract or through the OutLink contract, it's our responsibility to make sure they stay compliant with those changes in the regulations, which doesn't give them additional costs.
Operator: And our next question from the phone line comes from the line of Dave Koning with Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: I guess my first question is just it looks like when we take the growth in implementation services over the last 4 quarters, it's averaged probably some of the best price growth you've had in many years. And I'm just wondering, is that already in the more ongoing revenue stream? So in other words, is the stuff that you've implemented now in the ongoing revenue stream? Or is a lot of the stuff that you've started to implement still coming and it's going to generate good growth into the next several quarters?
John F. Prim: Well, Dave, the fair amount of the implementation services number is acquisition merger-related, so where one of our customers is acquiring another institution and we're doing the conversion services to fold that in. So a fair amount of that revenue is going to be a onetime deal to get that deal done. It might tick up their maintenance a little bit or if it's an outsourcing customer, it could result in a little better increase in the account processing fees. But then you've also got the implementation fees associated with new core customers, whether in-house or outsourced. The in-house version of those, and that's going to be largely on the credit union side, they'll be -- as a percentage of the new implementations, they'll be a little more in-house variety on the Credit Union side than there will on the Bank side. But typically, the license associated revenue there is going to come in roughly comparable periods to those implementation services. So to your question about whether that would represent ongoing revenue growth, pretty much only in the sense of software -- of software maintenance. So it's good, it's healthy, but a lot of that is kind of onetime revenue that won't necessarily drag significant ongoing revenue with it.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay. Okay, great. And then looking at kind of -- the EFT line has been strong for a while and outsourcing line's been quite strong. But the one other line that was a little surprising was the nice pick up in in-house maintenance. That had been growing in the low single-digits for a while and I think you guys mentioned 6% to 7% growth this quarter. With the shift to outsourcing, I guess I was surprised that it was that strong. Is that somewhat likely to continue to be a little a stronger than you expect?
Kevin D. Williams: Dave, in my opening comments, I referred to a onetime de-conversion fee that happened this quarter that wasn't in last quarter. It was really an unusual de-conversion fee because it's actually an in-house customer which actually flowed through that maintenance line. So without that, our in-house support would have actually grown about 3% instead of 6%, a little over 3%. So that was a large contribution. This was a large in-house customer that got acquired and they -- there was a long-term maintenance agreement, but there was a early-termination penalty associated with that, that went through the maintenance line. So our in-house maintenance is up 3%, which is probably sustainable for the year based on our deferred revenue and some of the work orders and different things. And obviously our annual release will be coming up in the next quarter, so it's probably going to be more the 3% type range rather than the 6-plus percent that we had this quarter.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's make sense. And then finally, I guess, on margins. Obviously, a great job there. Is a lot of that just the nice execution around the high-margin EFT growing fast? License seems to be doing a little better, which is pretty high-margin, and then less equipment revenue which is low margin. It sounded just a mix of business that you're growing, a nice -- the nice margin pieces better than the low margin pieces.
Kevin D. Williams: Well, it's -- obviously, it's primarily the mix of our revenues that's having an impact on that. But we continue to leverage the infrastructure. I mean we've got the same number of data centers that we had 1 year -- well, actually we had 1 less, as we continue to look to data center consolidation. Our PassPort switch is basically the same as it was 1 year ago for both PassPort and PTS, for rogue debit and credit. So we still got quite a bit of flexibility there and room to grow. I mean as we continue to add customers in both those areas, do we, in occasion need to do a hardware grade? Yes. But hardware's pretty cheap, especially when you're spreading it over that many customers. So it's really just execution. Can the margins go higher? Maybe. But obviously, like I said earlier, they're going to fluctuate around a little bit and -- but I think as we continue to grow our payments business and continue to grow our outsourcing and see the shift from in-house to outsourced customers, we should continue to maintain, if not improve, the margins.
Operator: Our next question comes from the line of Glenn Greene with Oppenheimer.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: I guess the first question, just sort of thinking through the revenue growth, even stripping out the term fee of about 8% or so, it's coming up on like 2 years of pretty solid organic revenue growth, clearly outpacing your peers. Any way at a high level to sort of explain -- and I know you're base is smaller, maybe it's the mix of business, but certainly the outsized revenue growth relative to your peers that's been going on for, I don't know, 6 to 8 quarters?
John F. Prim: Well, I think it's market share gains particularly in the credit union space, certainly doing well in the banking space. I think we've -- new products have been well received in our customer base. I mean it's basically blocking and tackling, Glenn. I don't know that there's anything particularly noteworthy. You've commented and it's correct that we're growing at somewhat smaller base than the other guys, so that's certainly plays into it as well, but I think it's just continued execution.
Kevin D. Williams: The other couple -- a couple of things, Glenn. We've talked about is in the past. Obviously, the continued move from in-house to outsourcing, we're averaging about 40 of those a year, which obviously, the revenue base, it doubled. But our wallet share goes up, the cost doesn't necessarily go up with the FI. They take the costs out of other places, but we get a bigger wallet share which doesn't really have much an impact on our cost structure. The other thing that we've talked about is, 2 or 3 years ago, we actually changed some things at our sales organizations for quoted payment for our payments for our PassPort business. And our PassPort business has literally exploded in the last 2 or 3 years. We've got a very healthy backlog of inflows on those. Instead of selling 30 or 40 of those new switch deals like we were 4 years ago, we're averaging 100 or so a year now for the last couple of years, so that is driving some very nice revenue growth. So those are a couple of the big players. And then just the overall growth in online bill pay with the iPay is adding to that. And we continue to see growth for remote deposit cash. So basically, all of our electronic payment fronts continue to grow very nicely, which is now 35% of our business. And when you think about that and OutLink is close to 20%, you've got well over 50% of your business that's growing very nicely. And when you got hardware slowing down, which is actually obviously, the lowest margin business we've got, it makes for a very nice shift in our businesses.
John F. Prim: I would just add, Glenn, too, that the ProfitStars business has continued to come together very nicely over the last couple of years. That's a concept that we've launched 5 or 6 years ago and had a number of acquisitions. And I think we've evolved the sales structure and organization over there. And I think that has clearly paid dividends for the last 2 to 3 years which has contributed nicely as well. So it's kind of just a number of things coming together.
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Sorry, let me ask a different question. The sales environment and in the context of -- in every new story you see on the community bank space suggests that struggling yield curve's obviously not a community bank's friend. In the context of that, your backlog actually declined a bit sequentially. I don't know if there's some seasonality there. But maybe talk about the sales environment, what you're seeing and maybe, Kevin, you could help us understand the backlog trends.
John F. Prim: Well, the sales environment, Glenn, has been somewhat surprisingly strong. And our teams have all made well in excess of their annual quota for the last 2 years. I mean that's the Jack Henry Banking, Symitar, and ProfitStars organization. Frankly, it -- you almost expect to see a couple of them be up and one maybe lagging a little bit. But for the last 2 years, all 3 of them have exceeded their sales quotas. In fact, for the full fiscal year 2012, the excess over quota, they were anywhere from 120% to 140% above their quota. So sales have continued to be strong and some of that is probably that -- the 2 years prior to that, there certainly have been significant pullback on any type of discretionary spending and maybe a little bit of loosening of the purse strings there. Q1 for us, the September quarter, is traditionally a little slower from a sales standpoint. That has not been the case the last 2 years. We saw a little bit more of that in Q1 just completed. But again, not concerned about that. That's really normal. What we've seen the last couple of years has been less normal in Q1 and our teams feel very good about being caught back up by the end of the second quarter. So from the standpoint of sales environment, it's not any one area. It's a lot of base hits that -- and we continue to feel pretty good about the environment.
Kevin D. Williams: And as far as backlog, Glenn, I mean -- and obviously you got to look at 2 components, we have in-house and outsourcing. Our in-house backlog is essentially flat, I mean it's down less than 1% from our June quarter. And if you look historically, we have typically burnt anywhere from 5% to 9% of in-house backlog in the first quarter, which tells me that with software license revenue being strong, that our sales, as Jack pointed out, continues to be pretty strong in the quarter for in-house backlog to remain flat. As far as outsourcing, you've got to go back and look at last year. I mean in the last 12 months, our outsourcing backlog exploded from $288 million to $343 million at June 30. It went down a little bit this quarter. It went down 3%. But like I said, in the second half of last fiscal year was the vast majority of our in-to-outs which loads up that outsourcing backlog. We had some very nice wins in outsourcing in the second half of last year. And as you start thinking about it, when you're rolling $25 million to $30 million a quarter out of outsourcing backlog, it takes a lot of renewals or new contracts just to replace that. So my point there is, yes, it went down roughly $10 million from June quarter, or 3%, but we're rolling $25 million to $30 million out of backlog on any given quarter now because it's so large, which means we're still -- we still have a pretty healthy sales quarter. .
Glenn Greene - Oppenheimer & Co. Inc., Research Division: Okay, understood. And one more quick one. Your margin commentary is probably the most optimistic I've heard in a while. From the context of that, how much of a drag you think the whole bank failure dynamic has been for the last 2 or 3 years on your margins?
Kevin D. Williams: I mean, obviously, it's different in any given quarter or any given year, Glenn. But I mean, the bank failures could have easily been 1% to 4% in any given quarter depending on when they hit and which institutions hit in any given quarter.
John F. Prim: Yes. The impact on margins is probably greater than the impact on revenue. We are looking at a 1% to 3% headwind on revenue, but the problem when that goes away is there's typically not a lot of cost that goes away with it. And so, the impact on margins could be potentially ahead of the impact that we've seen as a percentage on revenue.
Kevin D. Williams: That really depends on, like I said, which institution depending on any given period. Because if they were in-house customers, very little impact on margin. If they were outsourcing, huge impact on margin in any given quarter [indiscernible] institution.
Operator: Next questioner is John Kraft with the D. A. Davidson.
John Kraft - D.A. Davidson & Co., Research Division: First, for you, Jack. And I guess somewhat of a follow-up to Glenn's question and in light of the improving trend, it sounded like, Jack, your commentary on the overall industry was more optimistic incrementally than you've been in the past. And I guess digging into the trend of those in-house customers moving to outsourced contracts, some have speculated that part of that acceleration in the last few years is because the banks are struggling. Is that something that you might see slow down as they start to recover?
John F. Prim: John, I don't think so. The -- there were some banks who probably have a tendency to look at that option in 2008, '09, '10. But the reason -- I mean we're 130 or so, probably that it made that transition...
Kevin D. Williams: Over 200.
John F. Prim: Over 200 now in the last 5 or 7 years. And the reasons are all across the board. It's not just because capital outlay required to keep their systems current and updated. It's any number of things and it's different potentially for every bank. So the other thing that we're seeing is we've seen fairly steady interest on the bank side in making that transition again for whatever the variety of reasons would be. But we've seen growing interest on the credit union side who are probably 3 or 4 years behind on that concept of maybe a preference for outsourced delivery rather than in-house. So we have seen stronger movement on the credit union side in recent -- the last couple of years. So I don't think the economy is necessarily a significant impact as much as the number of technologies and delivery channels and everything else that the institutions have to have available. So we still see a good bid of activity out there at this point. We don't see it slowing. And frankly, some slowing on the Bank side would be likely to be offset by increased interest on the Credit Union side.
John Kraft - D.A. Davidson & Co., Research Division: Okay, great. And then one for you Tony. The transaction volume and growth that you rattled off really across the board looked to be higher than we've seen for a long time, if not ever. And clearly it looks like some of that share gains -- any way to give some -- and I guess, particularly on the bill pay, a same-store sales type of number? And I guess second part of that is, given what you see on the horizon, is it reasonable to expect these elevated levels will continue?
Tony L. Wormington: Yes. I think the increases due to our share gains that we're seeing in the bill pay market as well as increased activity just in general in what we're seeing with the existing institutions that are out there, I don't have same store numbers in front of me to provide those to you, but we continue to see strong elevation in our transaction volume increases across the board, really.
John Kraft - D.A. Davidson & Co., Research Division: And as far as pipeline, I mean are these numbers, that might continue through this year -- fiscal year?
Tony L. Wormington: Certainly, we'd expect them to continue somewhat into the year. I would tell you that a significant increase in bill pay volumes really started 1 year ago which will anniversary in the upcoming quarter. So I would expect the bill pay numbers to decrease in the next quarter because we had elevated implementation -- or I'm sorry, transaction volume percentages in the December quarter 1 year ago. So I wouldn't expect them to be as high next quarter. This quarter would be the last quarter that really has had some of the jump that we've seen. Although it continues to increase, I expect them to be higher than they have been 1 year ago. But they will probably be off from what this quarter is.
Operator: Next questioner is Peter Heckmann with Avondale Partners.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: You had put out a press release a couple of weeks ago as regards hosting some third party app, I think they were some Microsoft Office applications. Can you talk about some of your strategies there in terms of not only selling third-party software, which you've done for a long time, but now beginning to host third-party software?
John F. Prim: Pete, I don't know that there's been a significant change there. The -- we have a very strong partnership with Microsoft, as you may know, and it's been Solution Provider of the Year for them on some of our products. Microsoft is very interested in seeing their cloud business increase and so we're kind of partnered with them to offer some of their office applications in the cloud using their hosting, quite frankly, for that. Don't -- we had some interest in that. I don't anticipate that being a significant revenue generator at this point in time. But I think that it is further an indicator of the trend away from hosting things that have traditionally been hosted in-house, not just core systems but even e-mail and other office applications that you might host in-house on a server, that while the demand for that right now we think is still pretty low, I think that the longer term trends are towards hosting of a lot of those types of services. So we're looking at various ways of being able to continue to provide what's needed.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: All right. That's fair. And can you remind me, I don't think there's a fee on the disaster recovery side when a bank activates their recovery program. But can you talk about how -- and if you had many banks affected this week with the hurricane, and if you are expecting any incremental revenue in the current quarter?
John F. Prim: We have had some banks that were impacted. I don't think that the revenue that would be generated from that would be noteworthy.
Kevin D. Williams: No. But Pete, I mean there is an additional fee when they actually do declare a disaster. But as Jack points out, I mean, it's not even a blimp anywhere on the screen that you'll see.
Peter J. Heckmann - Avondale Partners, LLC, Research Division: Okay. And then we've read more recently about just increasing amount of a tax, both financially motivated as well as politically motivated on banks and other financial institutions. Can you talk about the relative demand for security and the services kind of surrounding security? Is there an additional opportunity there on the revenue side? Or conversely, are there additional costs that you would expect to kind of help protect these banks from hackers and intruders?
John F. Prim: Yes, That's a great question, Pete, and we certainly are seeing a demand for a number of our security-related products. As you may recall, when we did the acquisition of Gladiator a few years ago, while the services that they were providing at the time, intrusion monitoring and prevention of bad guys that are accessing financial institutions, good service. That wasn't really why we bought them. It's a good and necessary service, but we bought them with the intention of developing a more all-encompassing approach to security that would not only be from the firewall out, but would also monitor core systems and related activity from inside the firewall, which quite frankly, most studies would tell you is where, on a percentage basis, the largest amount of fraud that gets committed is on the inside rather than bad guys getting in. But we have completed that product a couple of years ago, our enterprise security monitoring solution. We've had very strong demand for that. Sales were up significantly last year and continue to be up at significant rate. Now again, that is a recurring revenue model, so it's -- in any given quarter, it won't make a big impact but again, does add nicely to our recurring revenue and backlog over a period of time. I would also say related to your question about potential increase costs, I would tell you that frankly, there are likely to be some increased costs to Jack Henry for some of our security-related requirement. As you know, we outrun one of the largest Internet banking operations in the country. And you certainly -- everybody have seen the headlines in recent weeks about the denial of service attacks on some of the large financing institutions. And while we have very strong systems in place and spend large sums of money already in that regard, that certainly there is some potential for us to need spend more there. Again, will that show up any significant way in any numbers that would be apparent to you? I doubt it. But again, it's an area that we have to continue to try to stay on top of.
Operator: [Operator Instructions] Our next question comes from Brett Huff with Stephens Inc.
Brett Huff - Stephens Inc., Research Division: It's Brett Huff. So given you guys continue to have lots of dry powder on hand, could you just maybe give us an update on where your heads are at just regarding this general capital allocation and then maybe just an update on the general M&A landscape?
Kevin D. Williams: Well, I mean obviously, we've got net cash now of a little over $100 million. We tried to buy stock back this last quarter and we bought back a little bit, but it was a pretty short window of trading for us because we were -- the company plays by the same rules that Jack and Tony and I do when we're blacked out for the company. So we were not able to even be in the market until after we announce year-end earnings, which is the end of August. And then obviously, we were blacked out again at the end of September, so pretty short period there plus our trading volumes were down. We hit an all-time high in the stock, so it was just not a real opportune time to be in the market. And even though we were in the market, it was a challenge to buy much volume. So we will continue to look at that. We will continue to look at acquisitions. We would love to find the right acquisition that fits our criteria, but they appear to be few and far between out there. But we will continue to look for those. Obviously, we'll continue to discuss with the board uses of our dry powder, as you so put it, in regards to dividends or additional stock buybacks or whatever, or potentially even paying down our term debt and cutting back on our cost of interest. So that's pretty much where we're at. It hasn't changed a whole lot over the last year. We'll continue to try to be opportunistic to get the best return for our shareholders.
Operator: [Operator Instructions] Presenters, at this time, I'm showing no additional questions on the phone line. I'd like to turn the program back over to Mr. Kevin Williams for any additional or closing remarks.
Kevin D. Williams: Thanks, Jerry. In summary, I originally would like to thank you all for joining us today to review our first quarter fiscal 2013 results. We're very pleased with the results. We think they're very strong and a very good start to our fiscal '13. We also want to reflect the efforts of our associates to -- that have helped control our costs and help drive our revenue and at the same time, continue to take care of our customers, which is that -- obviously the most important thing to do is take care of our customers which obviously will in turn take care of our shareholders. Again, thanks for joining us this morning. With that, Jerry, will you please provide the replay number for the call?